Operator: Thank you for joining us on the call today. Before we begin, I'd like to announce that we will be referring to today's earnings release, which was sent to the Newswires earlier this afternoon. 
 I'd also like to remind everyone that this conference call could contain forward-looking statements about Destiny Media Technologies within the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are based upon current beliefs and expectations of management and are subject to risks and uncertainties, which could cause actual results to differ materially from those forward-looking statements. Such risks are fully discussed in the company's filings with the SEC and SEDAR, and the company does not assume any obligation to update information contained on this call. 
 During this conference call, we will discuss certain non-GAAP financial measures. The non-GAAP financial measures are presented in the supplemental disclosures and should not be considered in isolation of or as a substitute of or superior to the financial information prepared in accordance with GAAP and should be read in conjunction with the company's financial statements filed with the SEC and SEDAR. The non-GAAP financial measures used in the company's presentation may differ from similarly titled measures presented by other companies. A reconciliation of non-GAAP financial measures to the most comparable GAAP financial measures can be found in the earnings press release. 
 With that, I now would like to turn the call over to your host, Fred Vandenberg, Chief Executive Officer. Please go ahead, sir. 
Frederick Vandenberg: Thanks, Sylvie, and thanks to everyone who are joining the call today. Q1 is always a little bit tight to the year-end conference call. So there's not as much typically to talk about, but pretty -- there's a couple of pretty exciting things that we'll focus in on. The first probably being the high-growth rate in independent usage. It's -- it was plus 40% in Q4 2020 and it's almost 40% in Q1 of this year. And also, we've made some product improvements, which I'll talk about a little bit more. But before I get into that, I'll turn it over to Sam to talk about the financial results. 
Samuel Ritchie: Thanks, Fred. Our first quarter revenue increased by 7.5% to $1.124 million from $1.046 million in the same quarter of last year. Play MPE revenues increased by 8.8% for the first quarter compared to the same quarter last year were adjusted for foreign currency fluctuations, an increase of 5.4%. Global independent revenue increased by approximately $171,000 from $443,000 in Q1 fiscal 2020 to $614,000 in Q1 fiscal 2021, an increase of 38.5%. 
 Overall expenditures decreased by 8.3%, or approximately $71,000, for the fiscal quarter ended November 30, 2020. This decrease was primarily the result of a reduction in travel and related expenditures associated with client meetings and business development effort due to the COVID-19 pandemic travel restrictions. Adjusted EBITDA for the first quarter grew by 85% to $286,000 compared to $154,000 for Q1 2020. As at November 30, 2020, we held cash reserves of just over $3 million, up $3.077 million and had working capital of $2.73 million. I'll pass you back now to Fred. 
Frederick Vandenberg: Thanks, Sam. There's really 4 things that I'd like to highlight. I'll try to be brief, but there's just 4 things that I'd like to talk about. One is the activity rates. Second is the product update. The third is investments of our cash. And the last is the customer sentiments and endorsements that we're receiving. So as far as activity rates, we touched on them in the 10-Q. We typically look at releases and sends mostly. Those are the most highly correlated to revenue. But there are dozens of metrics that we analyze in our system. 
 Sends typically are the ones that are -- the metric that's most highly correlated to longer-term revenue. Part of our strategy is to provide trials to the system. So if you look back in future, if you look back, you'll probably see -- if you were to graph sends and revenue, you would see a lag between -- sends would come first and then revenue would increase as well later. Indi releases are up 44.3% in Q1. That falls in line with the other activity metrics, sends are up 46.4%, distributions are up 45.3%, and then the revenue is up 38.8%. The difference here is between the activity levels and the revenue is likely to trial use. And in fact, I think trial use probably exceeds the difference, but we haven't analyzed that too deeply yet. Overall sends grew by 25.5%. 
 Product updates. We had 2 recent product updates that are probably worthy of expansion. In October, we released the new release creator module. This module follows a more modern or current workflow. The previous web platform really followed the PC encoder that was released in 2008. For new users, we think the new release creator is more intuitive, and it's the first step into the truly self-serve model that will allow us to scale. 
 Just this week, we announced the release of our updated mobile app. This mobile app has a number of improvements, but I would like to focus in on a couple of those. The first is the push notifications. Each recipient can be notified by notification to their mobile device through the mobile app. This is just another way the recipients can be in of a release in their library. 
 As digital communications evolve, this moves away from just an e-mail. We are adding notifications here, and this is not something that our competitors have. It's also -- I want to draw a distinction between a mobile app notification and a desktop app notification. The desktop app notification will come shortly. The second component of the mobile app is the off-line streaming. You can now review songs when you're not connected to data or WiFi and through your mobile app. And I think as people are spending more and more time away from their computers, this will facilitate more reviews and more activities within the platform.
 The third item I want to talk about quickly is our investments. As Sam mentioned, we have roughly $3 million in cash, and we're cash flow positive. So the question naturally arises that what do you do with the cash. Of course, you let it sit there or you can increase operating expenditures, increase staffing and marketing, what have you, you can pursue acquisition strategies, or you can repurchase stock or any combination. 
 We review these investments the same way. We don't distinguish between the two -- the four, rather, I should say. And we think that the one that generates the highest ROI is increasing expenditures on operating costs, whether that's developing the app or the platform more quickly or adding business development resources or marketing resources to grow our revenue. But there are limits to how quickly we can grow those expenditures responsibly. 
 So you saw release earlier this month, where we announced that we were going to pursue a share repurchase of up to 5% of the stock. That's -- I mean, I guess, it's just one more way to use the cash because we don't think we're going to increase our operating expenditures in a way that we can utilize the cash flows.
 The last thing I wanted to talk about was customer sentiments. Our staff are -- whether it's business development, operations for releases or tech support or marketing staff or product development staff, are always talking to our customers. We consistently get feedbacks from them. And it's what we've seen and what it's -- it's not something you can put a metric on. But we have seen that the enthusiasm and the comments that we're getting back are very positive. I don't know how to say this. But we are constantly trying to improve our messaging, to say more simply, more simply, why we are good at what we do. And that's not always easy. Not because -- it's not because we -- we don't do just one thing better. We do 30 things better. 
 So one of the things that we were doing to improve that message is to solicit testimonials or endorsements from our customers. And I think you'll see whether it's through our marketing messages or websites or product sites or our investor sites, we'll see more endorsements and use of customer testimonials. And we'll be publishing these in different ways. And I'd ask you to check out our marketing e-mails. If you not already -- if you're not already signed up, you can sign up for -- to receive our marketing messages on the investor site. Alternatively, you could just come and look at the sites when you get a chance. And with that, I turn it over to Glenn. 
Glenn Mattern: Thanks, Fred. As you said, it's only been a couple of months since our Q4 call. So I'll try not to repeat myself, but I would like to talk briefly about our business development progress in Q1 of '21. We are pleased with the results we're seeing from the restructuring of our business development team last year, working in a coordinated manner with marketing, engineering operations and finance teams. We are constantly refining our processes for improved efficiency and to create a superior customer experience. As the year progresses, we'll look to expand our sales efforts with the recruitment of additional biz dev staff, reseller agreements, both to help us expand our usage in various regions and formats and into new territories. 
 As you're all well aware, the pandemic restrictions have changed the way we interact with our clients. And we've had to shift to a virtual engagement rather than meeting in person. But our team has adapted very well in Q1 '21, and we show positive growth on many fronts. Again, as Sam mentioned, Play MPE's revenue grew by 8.8% or 5.4% currency adjusted to the same quarter last year. As well, a number of releases, which are unique pieces of music content with accompanying metadata, uploaded into the platform increased by a little over 2% over the same quarter in 2020. Sends, as Fred mentioned, which is the number of destinations selected, grew by 25.5% over the same quarter in 2020. And the number of tracks within each release grew by 10.5% over the same quarter in 2020. 
 As noted, we have, once again, seen a significant growth in revenue from independent labels and artists with a 38.5% gain in Q1 of '21 to the comparable quarter last year. Independent artists and labels now -- usage now makes up over 53% of our revenue. We credit this to our improved business development processes, refined marketing strategies and the improvements in our Caster and Player platforms. We're seeing higher volume of quality leads and improved conversion rates. Feedback from our clientele is overwhelmingly positive, citing great customer service, ease of use, speed and reliability of the platform, the strength of our distribution lists and our reporting features as key benefits. 
 We focus a lot of attention on major independent labels, who generally lack the internal resources, develop their own internals -- to develop their own internal systems, which features such as release sharing. We continue to negotiate and have successfully signed 1- and 2-year agreements with these high-volume major independents. We continue to make process in Canada and are seeing increased activity rates, more exclusive content and positive feedback from both sender and recipient sides. We're seeing positive results from our reseller agreement with Stamp Communications in South Africa. Their depth of knowledge of the region and industry contacts are proving valuable. We expect to see revenue to continue to grow significantly in 2021. 
 And lastly, late in Q1, we hired a Miami-based senior account executive to spearhead our Latin initiative in the U.S., Mexico and Middletown territories. We see great potential in this underserved Latin market, and we'll continue to deploy marketing and business development resources to expedite the adoption of our superior platform in various Latin formats. We are seeding content from Universal Music entertainment as well as several major independent record labels. And we continue to introduce key radio groups to our player platform to further increase engagement. 
 And with that, I'll turn it back to you, Fred. 
Frederick Vandenberg: I think we can turn it over to questions, Sylvie. Thank you. 
Operator: [Operator Instructions] And your first question will be from Gerry Wimmer at Investor File. 
Gerry Wimmer: Fred, great quarter. Just -- a couple of questions. The profit contribution from independent label revenue, is that different or higher or lower than, say, from the majors? 
Frederick Vandenberg: It's -- it would be higher. The different customers, we have a different value proposition, really. It's not always easy to draw a distinction because major labels would use our destination list as well as independent like smaller record labels. But the premium on that type of a service is a little higher than -- it's another value-add that we would charge. So in terms of -- we don't necessarily check our margins by customer, but certainly, our average price per destination would be higher for smaller labels for smaller independents. 
Gerry Wimmer: Okay. And you expect the independent label revenue as a proportion of total revenue to continue the increase? Or is this something that's just because of specific marketing or target of this group at the moment? 
Frederick Vandenberg: Well, I think Glenn touched on that a lot as well. But the increase in independence is not what -- from one thing. It's not because we're focusing on it. It's not -- it's really a function of increased and better marketing, better lead conversion, better software. It's not -- the source isn't one -- sort of one answer for that. I do believe that independent revenue, and I've always believed this is not something new. Independent record labels would be approximately 40%, say, of the worldwide market for music. But in terms of our addressable market, it would be more than that because -- just because of the services we provide them. I mean it's the same service, really, but the -- those labels don't have the resources to keep updated contact lists or that sort of thing. So the margins would be a little higher for them. And I think our growth rate will -- for independents, will always exceed our -- well, I shouldn't say it always exceeded, over the breadth of time will be higher than major labels. 
Gerry Wimmer: Okay. You talked about uses of cash several -- different for, I think, one, we talked about, obviously, reinvesting in the business in terms of operating expenses. Would you be reinvesting them on -- as a -- of revenues or would you be making bigger investments that could be more reflective quarter-to-quarter? 
Frederick Vandenberg: I'm not 100% sure I understand the question. But we are currently recruiting for both engineering staff and business development staff. And that's not always -- especially engineering staff in Vancouver is not always easy to add them quickly. We -- so we're growing those costs as quickly as we can. And I think we would stay cash flow positive even with our current outstanding recruitment efforts. But as we grow, as we move along our year, I think, our revenue will grow as well. And so we will revisit our expenditures and see what the opportunities are. 
 There's other ways we can add business development resources. We saw it in South Africa where you had a reseller and you share the revenue essentially for them -- with them or you give them a commission. But we're constantly revising our headcount for that. I think -- I do think that, that's where we'll get the biggest return. I think our opportunities to grow revenue are significant. And it's just a matter of doing that responsibly and at the same time as quickly as we can. 
Gerry Wimmer: Where I'm going with that question, do you expect revenue growth to continue to outpace expense growth? 
Frederick Vandenberg: Well, obviously, I hope so. I do think, like, for example, the Latin initiative is huge. And I would rather secure that like the Latin initiative covers Central America or Latin music in the United States or all, essentially the whole South America, and of course, Spain. The opportunity to capture that market, I think, is more important than staying cash flow positive. But I don't know that we're going to spend more than our current income at this point. I -- that's something we'll revisit on an ongoing basis. It is certainly a huge opportunity for us. 
Gerry Wimmer: And acquisitions are the -- currently, right now, any acquisitions that are you looking at? Or is it more kicking the tires? Where are you on that front? 
Frederick Vandenberg: Well, in terms of acquisitions, you can look at direct competitors in various markets and acquire them. To date, they have, I think, overestimated their value. So I'm thinking of a couple in particular. But there's other acquisitions that we can consider as well. There's sort of ancillary businesses or complementary businesses or the ones that naturally grow your addressable market. Those are opportunities as well. I just -- we're just not far enough along on those considerations to really comment too much on that. 
Gerry Wimmer: Okay. Fair enough. And lastly, on investor relation efforts, the company is nicely profitable, showing almost double-digit revenue growth, still a very small company, I might add. But is there any plans to increase visibility? There's lots of virtues -- virtual small-cap conferences right now that don't require travel, are pretty economic. Is the Destiny Media looking to up their profile a bit and get the name out amongst small-cap investors or the United States? 
Frederick Vandenberg: That's a plan we're building out. In fact, I'm happy to have a longer conversation with you about that than off-line, but it is definitely something, I think, we're going to spend a little bit more time on, especially given how we're doing with our revenue, I think, and how we will do with our revenue growth. 
Gerry Wimmer: Okay. Any update with the litigation with the former CEO? 
Frederick Vandenberg: No real updates. We're actually having a hearing today to see if his -- we're trying to see -- have 2 cases heard together because they are -- they have overlapping issues, the former CEO and his common law wife or spouse or partner or a friend or whatever he refers to is also pursuing some litigation against us, and we're just going to get those heard together. 
Gerry Wimmer: Okay. That's all for the good quarter. And hopefully, the trends continue. 
Frederick Vandenberg: Thanks. 
Operator: [Operator Instructions] At this time, Mr. Vandenberg, it appears we have no further questions. Please proceed. 
Frederick Vandenberg: Okay. Thanks, everyone. I'm actually somewhat surprised with the turnout given that it's certainly not a slow news day out there. But I look forward to next quarter and speaking to you then. 
Operator: Thank you, sir. Ladies and gentlemen, this does conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines.